Operator: ITM Power Plc interim results for the six months ended 31st of October 2024. [Operator Instructions] The company may not be in a position to answer every question received during the meeting itself. However, the company will review all questions submitted today and publish responses where it is appropriate to do so. Before we begin, we'd like to submit the following poll. I'd now like to hand you over to the ITM Power team. Good morning.
Dennis Schulz: Good morning, and welcome to our interim results presentation for the first half of the financial year '25. We have put together for you a comprehensive update. Among other topics, we will check in on our strategic priorities, talk about our project landscape, our contract backlog and our sales pipeline. But before diving into details, let me give you an overview of where we stand. I have clustered the overview into the market, our operational situation, the competitive landscape and our financial position. Achieving net zero requires the transformation of our energy system. To support this course, governments worldwide are implementing policies, regulatory frameworks and financial support mechanisms. As the only net-zero gas, green hydrogen is becoming a significant pillar of the global energy mix, whether as a feedstock in sectors such as chemicals and refining, as a fuel or as a source of flexible power generation. The potential of green hydrogen and the electrolyzer industry remains phenomenal and provides optimism for the future. When it comes to regions, the European Union has an ambitious strategy for hydrogen. Its target is to produce up to 10 million tonnes of renewable hydrogen by 2030, requiring around 100 gigawatts of electrolyzer capacity. According to the EU, this equates to more than 500 times the installed capacity at the end of 2023. The European Commission awarded EUR 4.8 billion in grants to 85 net-zero projects across 18 countries. From within the European Union, it was Germany who has led the world in policy and funding support for green hydrogen. As an important enabler of growth, the German government recently approved a 9,000-kilometer hydrogen pipeline network set to be operational by 2032. The first approximately 500 kilometers of pipeline are announced to come online already this year. In the United Kingdom, the new government reaffirmed support for 11 green hydrogen projects selected in the HAR1 auction last December. They further signaled an ongoing commitment to green hydrogen. In the United States, the energy policy and related net zero targets remain uncertain after the election. The Inflation Reduction Act has always had bipartisan support, and much of the investment in manufacturing has been concentrated in Republican states. The Hydrogen Production Tax Credit, Section 45V, was introduced with the IRA and proposes to award up to $3 per kilogram of hydrogen produced. The long-awaited final rules were released just this month. However, President Trump has since signed an executive order immediately pausing the disbursement of funding. All agencies must now review their processes, policies and programs for issuing grants, loans, contracts and any other financial disbursements of these appropriated funds for consistency with a new set of criteria. Until the outcome is clearer, industry participants will likely hold-off making material investment decisions in the U.S. Beyond politics, from an industrial perspective, the previous hype around green hydrogen has now given way to real industrial scale-up of projects and production capacities. We are seeing an increasing number of customer FIDs and expect this momentum to continue, especially in the European Union, which remains the most mature market for electrolyzer projects. With regards to our operational performance, we have continued to make massive strides. Today, we’re clearly in the best shape the company has ever been in. We now have a comprehensive and competitive product portfolio tailored to the needs of our customers. The very visible success of NEPTUNE V proves the product to be a game changer. In the first half of the year, we have commissioned important reference plants for our customers, such as the 24-megawatt green hydrogen to green ammonia plant for Yara in Norway and the 4-megawatt pilot plant in Lingen. Our growing number of deployed reference plants and field operating data are conducive to customer confidence. One tangible evidence for our operational progress is our FAT, or Factory Acceptance Test, first-time pass rate for electrolyzer stacks. Every stack we produce must pass a comprehensive set of tests before being declared ready for shipment to our customers. Two years ago, we were faced with a pass rate of below 50%. This was not sustainable. Today, we stand at an impressive 98% pass rate. This unlocked obvious and significant cost savings. The last point on my list is our very healthy sales pipeline, which I will talk about in more detail later in the presentation. Despite obviously growing momentum, custom FIDs overall are still slower than industry participants would like. As a result, competitive pressure has increased, and first peers have reported that they are struggling. Market consolidation has undoubtedly started. In turn, we at ITM forecasted and expected this development and have therefore meticulously prepared for this very moment over the last two years. I just talked about our many operational improvements. Likewise, we have continued to advance our technology. The cost base we have achieved is highly competitive, and improvements like the recently announced further 40% iridium reduction, among many others yet to come, are keeping us in the pole position. This is also a result of distinguishing ourselves from our competitors by retaining all core science and manufacturing processes in-house, which maximizes value add, provides security of supply and enables rapid improvement and validation cycles. As customers and finance providers, including banks, increase their focus on derisking their investments, reference plants, operational product performance data and long-term service agreements are gaining importance. ITM has successfully reduced its dependence on Linde as our primary go-to-market channel. The bigger share of our sales pipeline today are projects without Linde involvement, especially when NEPTUNE V comes into play. This does not mean though that our relationship has deteriorated, quite the opposite actually. We are actively bidding together, and Linde remains an important partner and door opener for large-scale projects in particular. Recently, we have increased regional focus, which is starting to bear fruit. I will share more about this topic later in the presentation. I don't want to go into too much detail on our financial situation because Andy and Amy will do so later. But let me confirm that our position is very strong. Our efforts around spend control and strict cost discipline are showing the desired effect. Underlying cash burn without exceptional one-offs has been halved again compared to last year. As you have probably seen already, we have yet again raised our cash guidance substantially for the remainder of the year. In a very volatile market over the last two years, we have attained stability and continue to deliver on each and every of our promises. 2025 will be an exciting year for the industry and for ITM. Following the completion of our 12-month plan and based on the market development we expected, we formulated our three strategic priorities. These were aimed to ensure readiness for an acceleration of customer FIDs, flexibility in scaling operations and delivering products into different world regions and managing our capital commitments carefully to preserve cash. This required from us to first remain at the forefront of technology, product and delivery credibility. I spoke about our operational and product portfolio progress already. What's worth mentioning in addition is that the development of our next-generation stack platform, CHRONOS, is well underway. CHRONOS is poised to become a game changer just like NEPTUNE V. We know what our customers need next, and we will stay in the pole position. Second we worked hard to scale our operations without losing regional flexibility and without committing cash too early. Our decision to wait to see the market develop more tangibly before investing into a factory in the U.S. has proven right. The very conscious and stepwise introduction of manufacturing improvements and automation has had the desired effect as well. I already mentioned our significantly improved FAT pass rates. Third, growing our global footprint without sacrificing adaptability. We have enhanced regional focus and dedicated resources to support business development activities in different regions. This allows us to stay close to our customers and to get early sight of new trends and developments. Our electrolyzer stack, the heart of all our products, has achieved compliance in all relevant markets now. Just this week, we announced compliance with Australian standards which was the last missing piece of the puzzle. We are now in a position to deliver the same stack unchanged into every world region. This gives us obvious manufacturing supply chain cost and flexibility advantages. Our success proves us right. They were the right priorities at the right time, and they remain valid also in 2025. Now let's take a look at our contract backlog, which is an important measure for the health of the company. Contract backlog refers to firm contractual orders not yet recognized as revenue. The growing backlog indicates future revenue growth and a sustainable business. Over the last two years, our contract backlog has grown substantially to GBP 135 million to date. Our financial year '25 order intake comprises the Shell REFHYNE II 100-megawatt project, the 500-megawatt capacity reservation, four NEPTUNE V units just sold at the end of last year, 60 megawatts of new FEED contracts and after-sales services. What's particularly important to mention is that all new project contracts, which we signed in FY '24 and FY '25, are profitable. This is an important data point on our journey to grow into a profitable business. Andy and Amy will talk more about our revenues later. We at the end distinguish ourselves by keeping things real, real-world products for real customers, not just paper announcements and hot air. Therefore, it is important to me to share some real-world impressions of recent commissioning activities. In the picture on the top left of the slide, you see two NEPTUNE II units recently deployed to Germany to produce green hydrogen for waste collection in a circular economy model. The picture on the top right shows our 24-megawatt green hydrogen for green ammonia plant for Yara in Norway, which was inaugurated by the Norwegian Prime Minister. In the bottom left, you see a NEPTUNE II unit deployed for the semiconductor industry in Austria. And on the bottom right, you see our 4-megawatt Lingen pilot plant built together with Linde Engineering for RWE. This plant will give our customer RWE, the opportunity to gather operational experience with our technology prior to the commissioning of the 200-megawatt plant currently in build. In our last update six months ago, I showed you a render of how the world's most advanced, biggest PEM electrolyzer plant will look like. In the meantime, this lighthouse project between RWE, Linde and ITM has progressed well. And this is how it looked like just a few weeks ago. The first 100 megawatts of Linde HYPEM modules are now installed and in them, 100 megawatts of our TRIDENT skids are ready. Over the next few months, the first 100 megawatts of stacks will be delivered and installed in batches as well. It's very difficult to grasp just how huge this plant is. To truly appreciate its dimension, one has to stand in it. This is a massive gas plant, even for people from the oil and gas industry. Equally massive and not least important are the real-world learnings all three parties gather during the execution of the project. They are invaluable experiences, which make us even more credible for future [excess] (ph) deployments. It is these kind of shared experiences which form a special and strong bond between our three companies. Speaking of real-world deployments, we thought it would be worthwhile sharing in which locations ITM has deployed electrolyzers so far. Every dot on this world map represents a real product. Studies and FEEDs are not shown here. Some plants older, some newer, some smaller, some bigger, but today already quite widespread across the globe from the Americas through Europe to the Middle East and East Asia, all the way to Australia. As already mentioned, Europe is the most active and mature market today and likely in the next years. We expect other regions to pick up incrementally. Last time, we spoke about our sales pipeline, which had grown by a staggering 25 times. Since then, over the last six months, it has continued to grow unabatedly. This relates to both the number and the quality of projects with an increasing share of industrial and energy companies in the mix. By year of manufacturing, on the top left, our full pipeline until 2031 by product. On the top right, a snapshot for 2026. Whilst TRIDENT stacks and large EPC modules constitute the majority of the pipeline, of course, also due to such projects being bigger in megawatt capacity, in the near-term, NEPTUNE containerized plants are the most demanded product. Customers tend to prefer the clean solution of a containerized green hydrogen plant with all its benefits for projects of typically up to 60 megawatts today. Bigger projects then tend to go for modular EPC solutions based on TRIDENT or POSEIDON. I spoke about our market in the different regions already. While the overall picture looks fairly balanced until 2031, and this shouldn't come as a surprise, in the nearer-term, the European Union is likely to remain our core market. In 2025, we also expect the United Kingdom to gain momentum finally. I will now hand over to Andy to present the financial results of the half year, which ended on 31st of October '24. For the forward-looking guidance, Andy will then hand over to his successor, Amy Grey, who has joined as our new CFO just this month.
Andy Allen : Thank you, Dennis, and good morning, everyone. This slide shows a summary of the results for the six months to the 31st of October 2024. In the period, we delivered our highest number of NEPTUNE II units in any given 6-month period, which is reflected in the revenue line of GBP 15.5 million, up from the GBP 8.9 million in the prior year. Our gross loss of GBP 10.2 million is broadly consistent with that in the prior year loss despite higher production. This is a reflection of the improved controls, particularly around projects that have been instilled in the last year. The gross loss features a level of under-absorption within production and that we have unlocked greater capacity within our factory, which will support the growing sales pipeline going forward. Our adjusted EBITDA loss improved year-on-year at GBP 16.8 million compared to GBP 18.1 million in the prior period. This loss was achieved despite building the capability of the company through personnel and investment in processes. Our cash position was GBP 203.1 million at year-end compared to GBP 253.7 million in the prior period. In terms of cash, our opening balance was GBP 230 million with GBP 16.8 million of EBITDA losses. Inventory increased by GBP 2.6 million. When we consider inventory, the two graphs on the top line show that we are starting to see a consistency in the raw materials held at circa 11%, 12%, with the balance being products that are being worked on or held as finished goods. In the period we paid an exceptional item to Linde of GBP 13 million. This has been disclosed as a contingent liability at the prelims in August, and we are pleased to confirm that all historic claim risk is now settled. Our relationship with Linde continues to be very strong and successful, both regarding projects in flight and also bidding activity on new sales opportunities. There are positive working capital movements before GBP 5.4 million of investments in the period. In terms of investments, the bottom 2 graphs show the split between investment in manufacturing capability and in new product lines. You can see for the period to 31st of October, a higher proportion of investment was made into product development compared to the prior year where we were focused on debottlenecking the factory. Therefore, our total cash outflow was GBP 27.2 million against GBP 28.8 million in the prior period. However, were we to exclude the impact of the one-off exceptional item, our like-for-like cash outflow halved in the period. I am now delighted to hand over to Amy to introduce herself and to give you an update on the guidance.
Amy Grey: Thanks, Andy. Before talking about forward guidance, let me introduce myself. I would first like to say how pleased I am to be presenting to you all today just a few weeks after joining ITM. My first impressions of ITM are very positive, and I'm excited about the journey ahead. I have a long-standing career in finance and many years of executive finance experience. This has been in a wide range of sectors, including manufacturing, engineering and renewables. I have a track record in multisite global operations, as well as in growth, change and turnaround environments. In my last role, I was CFO at Sheffield Forgemasters, a steel manufacturer specializing in complex engineering. Previous roles include: U.K. Finance Director of Heras Perimeter Protection, a manufacturer and installer of perimeter products; and Vice President, Finance of Greenlane Renewables, a Canadian-based global provider of biogas upgrading systems. Now on to my second topic, our guidance for the full year FY ‘25. The guidance for revenue remains unchanged and is expected to be between GBP 18 million and GBP 22 million. As a reminder, revenue recognition for most of our products is based on the completed contracts method, which means that revenue lags behind progress on contracts. The guidance for adjusted EBITDA loss is GBP 32 million to GBP 36 million. This also remains unchanged from previous guidance. Over the last few years, my new colleagues sitting next to me have gained control over what we can control. Remaining EBITDA losses are now a function of factory loading and fixed cost absorption. The guidance for cash has further improved to between GBP 185 million and GBP 195 million. This is a substantial improvement to both the original guidance of GBP 160 million to GBP 175 million and the previously already improved guidance of GBP 170 million to GBP 180 million, which we issued in December 2024. Increased cash-in following the signature of new sales contracts along with continued strict cash control have contributed to this improved guidance. This concludes our presentation. I’d like to thank you for your attention.
Operator: Fantastic. Thank you very much indeed for the update. [Operator Instructions] I'd just like to give the company a few moments to review those questions submitted today, and then I will ask you to read those through. So if I may just hand over to Justin Scarborough, Head of Investor Relations, to host the Q&A. Justin, as you can see, we've received a number of questions throughout today's presentation. Thank you to all the investors for submitting those. Can I please ask you to read out the questions where appropriate to do so, give a response or direct it to the team, and I'll pick up from you at the end?
Justin Scarborough : Thank you very much, Paul, and good morning to everyone. The first question is directed towards Amy. Welcome to your first ITM results presentation. I suppose two parts of the equation. First of all, what attracted you to ITM? And what are your initial impressions of the company and the people?
Amy Grey : Firstly, I just want to say how happy I am to be here this morning. It is a pleasure to start working at ITM. And yes, it's been an interesting first few weeks, for sure. So what attracted me to ITM to start with is from the outside, the kind of world of green hydrogen looks really exciting to be within it. Through the interview process and meeting the Board and other exec members, it became really clear to me how good the technology is, the products that have been designed and are now in production and sale and the future prospects of ITM and the role it can play within the market. So far, it's been extremely positive over the last just under four weeks now. So it's been a really exciting four weeks, been very busy, but a really positive experience. It is clear quite how much progress has been made, particularly since Dennis' arrival. The team are exceptionally focused, and I'm just really looking forward to continuing the momentum of change and growth here at ITM.
Justin Scarborough : Thank you very much. The second question is for Simon. NEPTUNE V seems to have been very well received in the market. Could you elaborate as to why this is the case?
Simon Bourne : Sure. You're absolutely right. NEPTUNE has been extremely popular. I think perhaps the first thing to say is that it's the full package. It does everything from water and power on the way in to pressurized hydrogen at very high purity on the way out. So it's a very straightforward thing to deploy and operate. It has the same TRIDENT core technology right at the heart, and we've spoken many times about the capability of the core technology. It is also the smallest footprint per megawatt. So that means many more sites that perhaps aren't viable with alternative solutions suddenly become addressable. It's got built-in redundancy as well. In NEPTUNE V, we have two banks of stacks, which we can control separately from one another. And that does two things. First of all, it gives the built-in redundancy, but it also means that the product has the widest possible operational range, and that gives the most flexibility to the operator to run the plan, as it works for their particular project. When we launched the product, we launched it with a price of just under EUR 5 million, which is very competitive. So all of those things together have led to a product that's very attractive, and that's why it's reflected as a large part of the pipeline moving forward.
Justin Scarborough : Thank you very much, Simon. This is a joint question, I think for Andy and Amy. Regarding revenue, first of all, was all of the product revenue in the first half derived from NEPTUNE to sales? And secondly, given that the first half revenue accounted for almost 80% of the full year guidance at the midpoint range, why have you not increased full year revenue guidance?
Andy Allen: I'll pick you up. So yes, I think it's worth reflecting on where -- how revenue is recognized for ITM Power. So typically, we recognize our revenue at a point in time, which is usually when we fulfill our obligations. So this is NEPTUNE II units that are now out in the field producing hydrogen for customers. So it's not to be confused with the bigger brother, the NEPTUNE V Simon is talking about. We signed new contracts for that in December, but those revenues will be recognized in future periods. So yes, the bulk of the revenue for the first half of the year were NEPTUNE II units that are now out in the field. Do you want to do the other half?
Amy Grey : Yes. So in terms of half-two, what Andy has just been talking about in terms of revenue recognition does come into play here. So we recognize based on a completed contracts methodology. So that means that the revenue that we recognize lags behind progress on projects. Revenue recognition can also be dependent not only on our obligations, but customers as well, and we do recognize as soon as we are able to under the accounting standards. So it does mean that the half-two guidance is slightly lower than the half-one, but that's just a function of accounting as opposed to progress that we're making on contracts. It's also just worth mentioning the contract backlog of GBP 135 million, which represents the amount of revenue that we have yet to recognize and will do in future periods.
Dennis Schulz : Worth mentioning about the cash profile, Amy.
Andy Allen: Yes. Do you want to --.
Amy Grey : No, go for it.
Andy Allen: Okay. I guess we structure our deals -- whilst the revenue comes at the end, we structure our deals to have a relatively flat cash profile for us. So we start with money upfront. And we go through a design phase where necessary. We see outflows before factory acceptance testing where we tend to have got a cash neutral position before completing our on-site works.
Justin Scarborough : Thank you very much. Next question is, I suppose, pointed towards Dennis. Could you provide any color on the settlement with Linde and the overall relationship with them?
Dennis Schulz : You can start with the financial --..
Amy Grey : I'll happily pick that up. So we recognized a contingent liability in the previous financial year. So the positive news is that in the half-one of the year, that was settled and paid at the value that was previously disclosed. So cash has gone out to cover that. The details of the settlement are commercially sensitive. We can't particularly provide anything further than what we already have done. But I can say that that is now cleared, and we do absolutely have a positive working relationship with Linde, which has been demonstrated to me over my first few weeks here. Dennis?
Dennis Schulz : And maybe picking up there on the relationship piece. The relationship between Linde and ITM remains exceptionally strong. Today, we have more than 350 megawatts of contracts jointly in execution, which is quite a big chunk of what we are executing in total and also for Linde Engineering quite important in terms of value and in terms of credibility for customers. When it comes to customers, the combination of Linde Engineering as a very strong technology and EPC company on the one hand side and ITM as a strong technology provider on the other hand side has not lost any attractiveness. And that's why we are bidding together for some very large-scale projects. And I would say, when I look at our sales pipeline, while Linde makes up the smaller part of the pipeline, I would say they are involved in some very credible and important projects which are important for ITM to win as well. Recently -- maybe that's also worth mentioning, recently, there was a rotation of the Linde Board representative in the ITM Board. Jurgen Nowicki has left our Board and handed over to Matthias von Plotho. That is a normal process. That is a bit of a non-event, I have to say. After 5 years of being on the Board, Jurgen Nowicki has basically rotated with somebody else of equal seniority. I think the interesting thing is that Linde Engineering left our Board and Linde Gas joined our Board, which gives us an opportunity now to grow a little bit closer also to our end customer Linde Gas.
Justin Scarborough : Thank you very much indeed. The next question, what are the key milestones and strategic initiatives on ITM's road map that will drive the company towards achieving consistent profitability?
Amy Grey : I'm going to pick that one up. So if I could just break it down to the kind of subjects. The first one would be capital and operational discipline in terms of spending and making sure we are spending money on the right things at the right time. The second would be delivering projects that we have won profitably. So it is really important that we do that now and demonstrate that everything that we've sold over the last few years is profitable. The third section would be operational efficiency, so making sure the way that we operate and manufacture is done in the most efficient way that we possibly can. And if there is a fourth one, it would be to continue the increase in our sales of profitable contracts.
Dennis Schulz : Yes. I think you said almost everything already. I mean I already presented our strategic priorities, which haven't changed much. I think this is very conducive to profitability and cash-generative business. When it comes to the key features, I think Amy just covered it, right? I mean it's about filling the factory basically and then doing well what we are supposed to be doing, which means if we sell a profitable contract, we also need to deliver it as a profitable contract. I can say that our track record over the last two years has significantly improved on that. And I think this will be reflected in our financials going forward as well. The key feature and key milestones for us will be to win more orders in the market and to see more customers' FIDs coming through as they accelerate in the market.
Justin Scarborough : In terms of the next question, our order book, what sort of use cases are we seeing for electrolyzer deployment? And are most projects located close to the hydrogen demand or the electricity supply?
Andy Allen: Perhaps I can start that one off. I mean all sorts of applications. And we've executed projects of both flavors where we are deploying the electrolyzer adjacent to the demand. For example, Shell REFHYNE I and Shell REFHYNE II will follow the same profile and also the containerized units, which can be deployed in more remote locations. And a few of those are being used, for example, for refueling applications. But what we've tried to do is make sure that the product we are offering covers all of those eventualities. So there's nothing about the technology or the way that the product operates that really places any restrictions. So we're seeing all of those variations coming through.
Dennis Schulz : And maybe adding to that, I think over the last two years, we saw particular demand coming from the mobility side, especially in Germany. We saw a lot of demand from the energy and refinery side. And when I look into our sales pipeline, these three areas and sectors will continue to dominate the pipeline. Nevertheless, there are also some other very interesting use cases, for example, on cement and glass, steel, other areas. I think one important enabler will be pipelines -- as we just talked about in Germany, they are currently building a big pipeline network with the first 500-plus kilometers coming on stream this year, because pipelines are quite a critical enabler to connect producers and off-takers. And they take away the necessity to find a very local off-taker to your electrolyzer plant before being able to submit a planning permit to the government or taking FID. It makes a huge difference to get projects accelerated.
Justin Scarborough : The next question, I think, is for Dennis. Obviously, you recently visited the Prime Minister at Downing Street. Is there anything you can update us on regarding U.K. hydrogen allocation routes?
Dennis Schulz : Yes. We have waited for the HAR1 project to take FID for quite a long time now. I think the elections last year slowed the process down a little bit. Some projects signed their funding end of last year, some signed beginning of this year, to my knowledge. So we would expect the first FIDs to be taken fairly imminently. I would expect the first quarter, latest, the second quarter this year. When it comes to HAR2, which is a much bigger distribution of funds, this is also a little bit overdue. I think the original aspiration was to communicate the short list of selected projects end of last year. I think we are all waiting eagerly for that to be released. I think it is a fair assumption that this will happen in Q1 this year.
Justin Scarborough : Thank you. A question for Simon. Is there any update or color that you can provide regarding CHRONOS and its development?
Simon Bourne : Okay. Well, I can say that CHRONOS is certainly on track. It is a very exciting project because we're able to introduce all of the learning from the TRIDENT stack platform and the platforms that went before it. And it is also a vehicle to introduce a number of technology improvements, technology breakthroughs, in fact. So I'm very excited about the progress that we're making. I'm going to stop short of saying when it's going to be finished or give any details of its specification, but we are able to pull all of our learning into that stack platform. So personally, I'm very excited about it, and I think it is going to be a game changer.
Justin Scarborough : Thank you, Simon. Again, this is probably one back to Dennis. How do you see the outlook for green hydrogen projects and FIDs in Europe during 2025 and beyond?
Dennis Schulz : Yes. It is always a bit of a speculation, right? I personally think that the momentum which we are currently seeing will continue, especially in the EU and in the U.K. The U.S. is a bit more shaky at this point in time, but I think especially in Continental Europe, we will see the momentum to continue. I think that we will see a lot of FIDs in the 5 to 20, 30-megawatt range and a few projects slightly above, and then we will see one or two larger projects every couple of months, 100 megawatt plus. I do expect this momentum to continue. Again, it depends always a little bit also on overall economics and everything. But if -- I mean, the only real tangible evidence we have is that over the last couple of weeks, couple of months, we saw more FIDs than over the last three years combined before that, and there's no reason to believe that this momentum will not continue. For ITM, we are very well placed. I think we have a high visibility of almost every sales project in these regions. In most of these projects, we are ranking somewhere in the top three of the suppliers. And I'm very confident that we will get our fair share in the orders to be decided in 2025. Personally, I believe that 2025 can be a turning point for the hydrogen and especially green hydrogen industry as more projects are getting FID and as the whole industry is accelerating a little bit, which also comes on the back of more and more reference plants going live because especially conservative customers were waiting to see more operating data, field data. So having these plants live and being able to show real plants to customers is definitely a way to convince customers to accelerate their FIDs.
Justin Scarborough : Thank you, Dennis. Coming back to Linde, are you -- we bidding on projects with Linde in the U.S. and Australia? Or is it just mainly related to bidding in Europe?
Dennis Schulz : So we are bidding together with Linde for projects also outside of Europe, for example, in Australia. We have not yet bid with Linde together in the U.S. I think the market is a little bit in a limbo right now given the recent elections. While I have said that just now, what we did see is a significant uptick in customer requests for potential projects in the U.S. following the election of Donald Trump. So our order pipeline in the U.S. has grown by 5 times since the election. But we have not yet submitted any bid together with Linde for U.S. projects. We are doing so worldwide. And I think if the right project comes for the U.S., we would also do so. But we are, for example, working on projects in Canada together as well.
Justin Scarborough : Thank you, Dennis. This is a question going to Andy and to Amy. You mentioned earlier the backlog of GBP 135 million. Could you give some idea of how much of that has already been reflected in cash flow at the end of the first half?
Andy Allen: Yes. I'll take that one. It's a good question. The cash received ahead of revenue recognition will go into deferred income. So you can track that within the trade and other payables line. And it will make up the bulk of the trade and other payables line. So that line is GBP 67 million as at the half year point. So the question that naturally follows is, well, have you had all the money but not spent to actually deliver the projects? But you can see within the inventory line, we have WIP and finished products, which is a very similar balance. So actually, those cash payments and the cash received are tracking against the products that we are producing. We are holding very little product to stock. So that's the question. It's not a precise one right now, but it's the bulk of the GBP 67 million that we have within trade and other payables.
Justin Scarborough : Thank you, Andy. Another sort of financial strategic question. At what revenue level will ITM break even?
Andy Allen: Maybe I'll kick it off and we can go from there. We've had this question before. And actually, it's a feature of volume in terms of megawatts and also in terms of controlling costs --.
Dennis Schulz : And product mix as well.
Andy Allen: So we're very clearly controlling the cost. So the answer really remains the same. If it was fully TRIDENT, it would be about 400 to 500 megawatts. Dennis is absolutely right, though. The product mix plays a part here. And actually, if there are more NEPTUNE Vs, the number of megawatts required will reduce in order to hit breakeven, and we are starting to see those NEPTUNE V interest lifting up.
Justin Scarborough : Thank you very much. Question -- how many containerized solutions can ITM produce in a year? And is the production capability a bottleneck to signing future contracts?
Dennis Schulz : Let me maybe start with the later part of the question. So the current manufacturing capacities we have neither for stacks nor for designing POSEIDONs nor for NEPTUNE Vs or NEPTUNE IIs are a bottleneck to signing future orders. There is a good reason why I usually do not disclose such kind of figures, and this goes more to customers. Let me say it like that. One important lever you have on customers to sign contracts is to make customers understand that if they don't sign at a certain point, they may not hit their project time lines anymore because they may run into capacity constraints on the OEM side. If I sit here now and told you that we can produce x number of NEPTUNE II or V or stacks, customers could calculate backwards and that threat scenario of, if you don't buy now, maybe you cannot buy in three months from now, would just disappear. So it is a conscious decision to prioritize the customer side and generating more orders over talking about capacity numbers. I can tell you that as we sit here right now, we are not anywhere near capacity constraint to build more units. This could, of course, change if we sign more NEPTUNE V orders in particular because they do consume some factory space. However, also for that scenario, we have different options on how we can enlarge factory space or how we can work with partners to deliver more units at the same time. So there i's no bottleneck to signing more contracts at this point in time. That will be a luxury problem to have, right, if we couldn't sign any more contracts. Maybe let's wait and see.
Justin Scarborough : Thank you, Dennis. Does ITM have a goal for the market share that it believes it can achieve in the PEM electrolyzer space?
Dennis Schulz : Yes. It is always a bit difficult to forecast that because it depends on what is market share. Is it delivered projects? Is it theoretical selections of projects? I would say when it comes to real deployments and real plants in the PEM space, we are looking at a market share of 25% to 30% minimum to be satisfied with our performance in the market.
Justin Scarborough : Thank you, Dennis. Another question which relates to probably capacity and capability. Can you give an update on the adjacent facility at Bessemer Park to the one that we are currently in today, please?
Dennis Schulz : Yes. The adjacent facility is for us a space which we could, for example, use to fabricate more NEPTUNE II and NEPTUNE V containers if the need arises. We have continued to automate our manufacturing processes. I'm not sure if you want to add some context maybe. I mean we talked about our high pass rate of 98%, which we have now achieved. That is also a future of introducing, in a very conscious and incremental way, more automation and more control steps. This includes several optimizations which we have done, and there are some yet to come. I would say we are probably 80%, 90% through of what we had planned overall to implement, especially when it comes to stacks. Now you can optimize stack manufacturing a lot with automation. And by that, you can free up a lot of space in your factory because if you have automated machines, usually, you need that space to produce, which gives you more space you can use for NEPTUNE II and NEPTUNE V units, which are a bit more space consuming. Right now, we plan to use Unit 3 through the next Bessemer Park expansion, which we invested for an overflow of the current factory for more NEPTUNE V build, which seems we will soon have to make use of because our sales for NEPTUNE V product is extremely healthy, and we would expect to sign more orders in the next month.
Andy Allen: Maybe just to pick up on the automation point a little bit. We have, in a very stepwise and controlled way, been introducing automation to the highly repetitive steps of our stack production. But it's important to make sure you, of course, have a very stable product and you know exactly what and how to automate the different steps. So that's something that's continued. And I think the improvement we've seen in our first-time pass rates is a testament to that all moving in the right direction. And so the automation journey does continue. And the focus is very much on ensuring that we have quality and reliability at the heart of all that we do.
Justin Scarborough : Thank you, guys. In terms of -- you mentioned the containerized solutions, NEPTUNE II and NEPTUNE V. Could you give some sort of context between containerized solutions and other plant builds in time frames between contract and say, revenue and final cash recognition? Please.
Dennis Schulz : Should I start maybe with project time lines?
Amy Grey : Yes.
Dennis Schulz : Okay. So when it comes to overall project time lines, right, I mean, NEPTUNE is one part of it or for POSEIDON or TRIDENT supply. Depending on the site conditions, typically, you would have to do some civil works, which could be groundworks. Some plants need a building for noise reasons. There could be different kinds of civil works required, which usually then determine when the critical path starts for the ITM deliveries. When it comes to big EPC projects like Lingen, like REFHYNE, that sort of project where you have a modularized approach, POSEIDON or a Linde HYPEM module, plus we produce stacks, you would look at a project time of between two years and three years between signing the contract and going live with the plant. ITM is nowhere on the critical path with our deliveries there. When it comes to NEPTUNE projects, and I think this is one of the big advantages of NEPTUNE containerized units, you can shorten the build time significantly. This requires less civil works usually. Our containers can also operate outside. Oftentimes, you don't need a building, if not required for noise reasons. And currently, we are quoting NEPTUNE V and NEPTUNE II units with a 12-month lead time, which means from signing the order, it could leave our factory latest after 12 months sometimes also a little bit earlier with some elements like, for example; the power supply unit, which we buy in from partners being on the critical path there. That's the build time. The build time of one NEPTUNE V unit is significantly shorter. Also, for NEPTUNE II unit, it's significantly shorter than what we are talking about. But of course, you need to order material, you need to make sure that the quality is right and then you need to build it, test it and deploy it to customer side. So I think it's a fair assumption to say that the NEPTUNE V project takes around 12 months to deliver. And then you have further on-site work, integration into whatever other infrastructure you have, could be a refueling station, could be connecting different units together, could be integrating it in some other brownfield installation. And then you would have commissioning time to get the unit and the wider system up and running. So I would say full project, lead time for NEPTUNE-based project, especially if it's a bit larger than just 2 or 5 megawatts, you would probably look at 14 to 16, 17 months. And maybe with regards to revenue recognition?
Amy Grey : Yes. I'll pick up the revenue recognition point. So as we previously discussed, the majority of our revenue recognition is based on completed contracts methodology. So revenue generally recognized at the end of the contract after our obligations are fulfilled, but can also be dependent on customer obligations. And as Dennis mentioned, they may have additional work on site to make sure that their obligations are fulfilled as well. So generally, revenue recognition will be towards the end of completion of a project, but it is dependent on the specific contract and specific projects.
Justin Scarborough : Thank you very much. Dennis, you mentioned earlier about system being deployed for waste treatment. Could you comment potentially on what you think this market looks like, particularly in Europe, and if ITM has got any future potential projects or contracts coming up in waste treatment specifically?
Dennis Schulz : Yes. I think this -- so when we talk about waste treatment, it is not that the hydrogen is used for waste treatment. It's about a mobility application where a customer is incinerating waste. We use the energy produced by that to generate hydrogen. We then fuel the waste collection cars with hydrogen, who are collecting the waste again, and then basically the waste is incinerated again. So it is basically an intercompany or intracompany mobility application with the circular economy model of waste and green hydrogen production as an energy buffer and fuel for mobility. I think there's more projects like that coming, I think not only in Germany, but the wider European Union, hopefully also in the U.K., going forward, which makes a lot of sense to store energy and then reuse it as a fuel, basically.
Justin Scarborough : Thank you. Following a raft of positive statements coming out of Spain yesterday about the industry, could you give some flavor of ITM's potential involvement in Spanish projects?
Dennis Schulz : Yes. Spain is an interesting market -- I mean, the wider Iberia region, I would say, Portugal included. We are very active now in that region in terms of business development. We are talking to different customers. I think we are well positioned for the projects to come. I think Spain is one of the few markets which have a very high focus from us right now other than the markets where we already see projects. So if I look into the European Union, I would say the most attractive markets right now are, clearly, Germany, I would say wider Europe would then be Norway, the U.K. and Iberia as a region. Also, France is picking up a little bit. But I think Iberia ranks fairly high on the -- one of the next regions to come for projects. And for us, we have dedicated business development resources tackling that market, and we are in very good customer discussions there.
Justin Scarborough : Thank you, Dennis. I suppose this will be a question for Simon. Are there any shortages of raw material or product in our supply chain? Or is that bottleneck that was there historically fairly clear at this moment in time?
Simon Bourne : No, I think we are in a good position, and we've done a lot of work with our supply chain. We have changed some key suppliers to try and ensure we are always getting the best quality, and we are working with a partner that can grow with us and provide the quantities that we need. So I think that's in good shape. From a technology point of view, we've also done a lot to reduce the amount of material that we need. And in particular, precious metals. So we -- because we have made active insourcing decisions around key components or processes, we're able to influence very significantly the amount of precious metal that we use in our stacks. And we made an announcement last year that talked about that in a bit more detail. And that is a function -- we're able to build on the thrifting of precious metal substantially, having already taken about 80% of the PGMs out. We are able to take a further 40% out, and that is only possible because we've insourced it and we've got a very strong team and very extensive testing capabilities. So -- I mean there are many such activities that are underway that are not only making sure our supply chain is secure, but we're pulling every technology lever that's available to us to reduce our demand for such materials.
Justin Scarborough : Thank you very much, Simon. I think for now, that probably wraps up the Q&A session. As people know, I will endeavor to respond to every other question that's not been answered today. For now, thanks for your time. I'll hand back to IMC.
Operator: Thank you, Justin, and thank you to the ITM Power team for updating attendees today. Can I please ask attendees not to close this session? You should be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete, and I'm sure it will be greatly valued by the company. On behalf of the management team of ITM Power Plc, I'd like to thank you for attending today's presentation. That concludes today's session, and good morning to you all.